Operator: Good day, and welcome to the Energy Focus First Quarter 2013 Earnings Release. Just a reminder, today’s call is being recorded. At this time, I would like to turn the call over to Mr. Brian Tanous. Please go ahead sir.
Brian Tanous - Investor Relations: Thank you, operator. I’d like to welcome everybody to Energy Focus’ 2013 first quarter earnings conference call. On this call, the company’s Executive Chairman, James Tu will give an update and outlook on the company’s business as well as the company’s new initiatives under the new leadership. The company’s Chief Financial Officer, Mark Plush, will then address the company’s fiscal 2013 first quarter financial results. The company’s President, Eric Hilliard, will also provide a quick introduction and update on the company’s individual business units. Following prepared remarks, we will open it up for questions for the remainder of this call. During the course of this call, the company may discuss our business outlook and make forward-looking statements. Such statements are predictions based on management’s current expectations. Actual results or events could differ materially due to a number of risks and uncertainties including those mentioned in our most recent 10-K filed with the SEC. With that, I’d like to turn the call over to Mr. James Tu. James?
James Tu - Executive Chairman and Chief Executive Officer: Thank you, Brian, and good afternoon to everybody attending the call. I am very glad to have this opportunity to talk to you our view for the first time through our conference call since we made the leadership change two weeks ago. Needless to say, I am excited about the opportunities here in Energy Focus for us to build a sizable and profitable company in the face of the most explosive revolution in the lighting industry since Thomas Edison invented the first light bulb in 1879. Many of you have been long-time investors in Energy Focus and have probably witnessed the evolution of the company over the past years, only to be disappointed and lamented at the company’s constant inability to realize its promised potential. First of all, on behalf of our employees and Board of Directors, I like to thank you for sticking with us through these tough years. Secondly, I like to tell you that I am in your shoes. Our recent investors and myself have invested more than $9 million since March 2012. And we want to see Energy Focus reach wild success as much as you do. Thirdly, I can assure you that all our employees at Energy Focus many of which also have dedicated themselves to the company over the years when we were planting the seeds for the LED opportunities we are planning to enter into now. I am excited about the future of Energy Focus after we made leadership change the energy level in our company is that the highest level I have seen since I got involved more than a year ago. So, I believe that the company is well positioned and even better positioned for significant growth as we realign our operational of focus and as LED markets opens up. In today’s call to give your more complete picture about where we are today we have divided the call into four brief sessions in order for you to understand our perspectives and strategies and those new leadership. In the first session, I will provide you with comments on our first quarter 2013 results. In the second session our CFO, Mark Plush will take you into the details of our first quarter financials. In the third session our layout, the major initiatives we are undertaking what I call the four pillars of the new Energy Focus that we believe will prepare us to unlock our organizational potential and create substantial shareholder value. So, you can understand where we are going as a company and share the excitement with us. In the fourth session our President, Eric Hilliard will briefly talk about our business units and shed some light on the current status and our strategies to grow these businesses. Finally, we’ll going to the Q&A session where you’re welcome to raise any question you might have. Now let me start the first session by commenting briefly on our first quarter 2013 results. This has been a challenging quarter financially as our revenue came in flat versus first quarter 2012. It’s been lower than the range we have previously provided you. Primarily due to a combination of delayed order booking and sales were commissioned for our government business as well as lighting service units Stones River Company. One bright spot during the quarter was our gross margin at 22.5% which was within our target range for the quarter and substantially better than 15% in the Q1 last year. Our initiatives to increase gross margins in our pool as well as government products business has paid off handsomely as our gross margin for product segment grew from 19% to 26%. We expect the company gross margin to improve in the second quarter and in the rest of the year led by improvements across product lines due to higher sales as well continuing purchasing cost reduction. With higher sales and continuing cost reduction, we believe that we are on track to reach long-term gross margin goals of 30 plus percent On the P&L side, our net income came in at $1.4 million loss with EBITDA loss at $1 million compared with $1.7 million loss and $1.3 million EBITDA loss in the first quarter last year. This cash flow improvement was many due to high gross margin. We do expect substantial bottom line improvement in the coming quarters. While our results were not far from the projection in the first quarter, let me say I’m not pleased with these results. You can be sure that we are working hard on expediting our business execution and improving our ability to focus and plan ahead under the new leadership. Meantime, I do want to remind you that at this point when our quarterly sales as still in $2 million range we are subject to external factors more than we like such as timing of orders. As an example, contracts SRC typically range from $100,000, so a few million dollars. So, having one or two contracts delayed could be – create a substantial impact on our quarterly performance. This is just the nature of the government and SRC businesses. However, on an annual basis these fluctuations will likely to be minimum, but I encourage you to look at our results in conjunction with underlying business momentum to decide if the company is on the right track. In addition discussing the high first quarter numbers was a strong exciting upstream and the momentum of our bookings at SRC. As our press release last week stated, we have seen 50% year-over-year growth in the SRC orders in the first month – four months of this year. So, clearly we are seeing an upturn in our retrofit business. As for IntelliTube development and it’s been that many investors has been disappointed at the consistent launch delayed over the past few years. We share your frustration and concern. At this point I can tell you that we have completed the “invention part of the development” and are in the middle of pro-typing for commercial productions. We are targeting to start sending out sample products by the end of 2013 and generate commercial sales, IntelliTube sales early 2014. We should have more precise timelines to report to you in the coming earnings calls. There is no doubt that IntelliTube represents extremely promising potential. There have been delays deployed in the U.S. maybe shift and we are likely to be only LED solution well maybe shifts going forward. We also see tremendous opportunities in the broader marine market and of course the lighting retrofit market especially in the commercial and industrial sectors initially. I can also say that as a significant investor, I myself believe that we are finally on the right track to make commercial IntelliTube into reality. And the management team here will do our best to expedite the development and launch of this product. And going forward we will update with you more proactively on our progress and strategies surrounding IntelliTube. Last but not least in the first few months of the year we’ll raise additional total of $1.75 million from our convertible bond offering from our previous filing with the SEC. With additional $1.5 million committed and we expect to wrap up this round of convertible financing within the next few weeks. By the end of May we expect to have completed our current capital raising plan and our balance sheet will enable us – will provide us the financial flexibility to meet our working capital needs going forward as we grow. Our investors continued to be extremely supportive of our capital need. And we are targeting to reach EBITDA positive in the second half of 2013. I will now turn the call over to Mark Plush our CFO to conduct the second session and review our first quarter financial results in more details as well as our target for the second quarter of 2013.
Mark Plush - Chief Financial Officer: Thank you, James. Good afternoon everyone. Net sales of $5.3 million for the first quarter of 2013 were essentially flat compared to the prior year’s first quarter sales of $5.3 million. Sales decreased 4% in the product segment primarily due to lower sales in the U.S. Navy as a result of delays from the sequester. Sales increased 10% in our solutions segment as we are experiencing growth in this business segment. As James mentioned gross margins were 22.5% of net sales versus last year’s first quarter gross margins of 14.8% of net sales a 7.7 percentage point improvement or $416,000 increase. The increase in gross margins was due to higher gross margins at all of our businesses. Gross margins in the product segment improved from last year’s first quarter of 19.3% of net sales to 26%. And the solution segment improved from 4.8% of net sales to 15.7% of net sales this year. Operating expenses for the first quarter of 2013 were $2.4 million compared to the prior year’s $2.5 million, a 3% decrease. Costs were reduced primarily in G&A. The first quarter loss before taxes was $1.4 million compared to a loss before taxes of $1.9 million in the prior year’s first quarter. This reflects improvement of $439,000 on essentially flat sales. The improvement was due primarily to higher gross margins and slightly lower operating expenses. Cash at March 31, 2013 was $452,000 versus $1.2 million at December 31, 2012, a $729,000 decrease. Cash used in our operations during the first quarter was $2 million as a result of $1.1 million of cash losses and $800,000 used due to changes in assets and liabilities affecting operating cash flow. Inventory turns at March 31, 2013 were 5.3 turns and DSO was approximately 77 days. DSO always increases in the first quarter as a result of providing extended terms to our full distributors. DSO will return to normal levels in the June quarter. Inventory turns decreased as we build inventory in anticipation of receiving orders from the U.S. Navy. On March 12, 2013, we announced that we embarked on a program to rise up to approximately $3.8 million in convertible debt, of which, $1.7 million was received in the first quarter of 2013. We expect to receive the remaining $2 million within the near future and in fact $800,000 has been recently received. The proceeds from financing will be used for operations during 2013. Now, I’ll turn the call back to James.
James Tu - Executive Chairman and Chief Executive Officer: Thank you, Mark. Now I’d like to talk about the four major initiatives like all the four pillars of the new Energy Focus. We are undertaking under the new leadership in place to lack our company potential and create potential with shareholder value. Our first pillar is strengthening organizational health. We have a wonderful team of past by this professional and dedicated. What we could do better as the company is to build the culture of trust, transparency, and accountability from top to bottom of our organization. There is so much more potential for us to offer better solutions and services, improve our margins, and expertise product development by sending the communications and collaborations among our best in various departments and locations. As an example, we have started implementing strategy that lets employees of all levels set their own weekly, monthly, and annual goals, so we can be sure that our whole company is moving towards accomplishing our collective wildly important goal, which is to become a leader in the LED lighting retrofit market. And last but not least that we are working on new incentive programs that focus on increasing employee stock ownership through broader options and share purchase programs. So, our employees don’t have interest in line with those of our shareholders. The second pillar of a new Energy Focus is realigning our businesses to significantly enhance our strategic focus. Energy Focus has several product lines, which position us to be a leader in the lighting retrofit market in the government, commercial, and industrial sectors. One grand market value total is to explode in the coming years. Globally, that an estimated 8.1 billion live sockets just in the commercial and industrial sectors and all of these sockets will be replaced with LED lamps within the next 5 to 10 years, as the LED prices fall to attractive levels and efficiencies increased. Based on the research of various leading market companies, we could be seeing penetration rate by LED lamps in these sockets from below 1% in 2013 to over 50% by 2020. Assuming our long-term average price of $10 per LED fluorescent lamp now it represents an aggregate market size for lighting retrofit in adjusting the commercial and the industrial sectors reaching approximately $40 billion worldwide or $8 billion to $10 billion dollars in the U.S. just in the next seven years also. Because of our technological ability to develop specified source test validate and sent behind our LED products as well as our global sourcing network. We are able to offer the best prices with best quality in the market, and we are uniquely position to become a leader in this particular market. Therefore, we plan to expand some leverage by bringing our different business units together to focus on creating a single Energy Focus brand that represents best value and highest quality for our target markets. To iterate, our primary goal is to become a leading company in the lighting retrofit markets within the next few years. That single objective will have our laser focus and all our resources will be directed to help us get there. Our third pillar for new Energy Focus is significantly improving our operational and financial planning practices. Many of you have been long time investors in Energy Focus and you know we have not been able to provide reliable and realistic operational and earnings guidance. The result is that we have not only been under investing due to insufficient capital, but also lacking successes, which undercut our employee morale and investor confidence in our future. In the weeks and months to come, we will start setting challenging, but achievable goals for all our units and departments and plan our capital and operational needs accordingly. So, we can start storing wins and focus on delivering results. And I can assure you that many of our investors then ready to provide necessary capital to get us to where we need to be. The fourth and last initiative for new Energy Focus, we are implementing our fourth pillar is enhancing the quantity and quality of shareholder commendations. Over the years, Energy Focus has been fortunate to have attracted a very strong loyal and global base of shareholders. In addition to the above three pillars that set us ready they are taking advantage of the LED opportunities ahead. We will start communicating with our shareholders more frequently, more directly, and more clearly. To help you understand, the changing and expanding dynamics of the LED retrofit markets, as well as our capabilities and successes. So, you will be seeing more informative and hopefully encouraging press releases going forward from us and we are very open to contact us anytime if you have any questions, comments, and suggestions that could help us, inform us serve you better. In summary, we believe that with the above four pillars of initiatives, the new Energy Focus will perform better, grow faster, and our stock which now clearly is undervalued will start reflecting the true value of our assets as well as our organizational potential. With this introduction of our major initiatives, I’d like to introduce Eric Hilliard, our newly appointed President and COO to give you a quick update on the operations and outlook of our individual business units.
Eric Hilliard - President and Chief Operating Officer: Thank you, James. I would like to take this opportunity to share with our investors a brief overview of the businesses that Energy Focus owns and controls in various geographic locations and lighting markets we serve. First, Energy Focus Incorporated has two legacy product lines Crescent Lighting in the United Kingdom and the other residential pool lighting in the United States known as Fiberstars. These brands have held strong positions in their markets since their inception in the 80s. Energy Focus has been able to transform both Crescent and Fiberstars from fiber optics to LED products over the past four years, and in the meantime holding their market share and increasing the gross profit margins amid very difficult economic landscapes. These product lines are bolstered when the building and the home markets are doing well and new pool constructions are up. Furthermore, Fiberstars has developed new products that can now allow for retrofitting existing pools and even upgrade the pool from a fiber system to LED systems. These new products allowed Fiberstars to continue holding their market share and generating growth. Second, Energy Focus brand LED products for lighting retrofit market has evolved each year since 2007 when Energy Focus first introduced them for the United States Navy and reached other milestones last year when we started shipping significant volumes of LED tubes in the commercial market. We believe that Energy Focus now offers to the lighting retrofit communities, one of the most energy efficient LED TA retrofit tools at the lowest total ownership cost. Moreover, we expect our military tube sales to pickup significantly in the second quarter as the government sequester begins to relax and orders begin to be released. Finally, Energy Focus’s SRC Solutions business located in Nashville, Tennessee serves as energy service performance contracting market. This company was acquired late 2009 and now has been with Energy Focus for 3.5 years. SRC Solutions is currently experiencing a growth period as we have signed nearly $5 million in contracts to-date this year and expect more each quarter towards further growth over 2012 results. Energy Focus has continued to invest in this business with new sales people, and last year a new General Manager to drive growth and profitability as Energy Focus sees this channel as a delivery mechanism for new technologies as well as LED product. Now, let me turn the call back to the operator and we can take questions from the group. Justin?
Operator: Thank you. (Operator Instructions) Your first question will come from (Indiscernible) Private Investor.
Unidentified Analyst: Hi, good afternoon.
James Tu: Good afternoon.
Unidentified Analyst: I am one of those long-term shareholders who is not entirely happy with the (bad) performance of this share value, but now I have some questions. First of all, what is status of the large maybe contract of $2.5 million – $23.5 million you have signed few years ago, it seems like should be well underway now on delivering at a pretty rapid rate, do you have any further comments about it?
Eric Hilliard: Hi, Joe Eric here. Let me fill that question, the contracts we received is absolutely still in place and we are receiving orders off of that contract. I believe through this call you may have heard that we expect more orders to the second quarter and we are waiting somewhat on that to sequester to relax a little bit that did cause a brief disruption in receiving orders. We feel that the landscape changed now we expect that contract to start yield at a better pace. The Navy and the pace at which we’re going to deliver this if you go back in read releases it was five year release we still have much time left on this to fulfill this opportunity that the Navy has presented for us. So, it’s still going along and become – I would love it go along at a faster rate as well, but we are (indiscernible) of the Navy’s process.
Unidentified Analyst: What percentage of the products have you delivered over the entire contract – on the entire contract?
Eric Hilliard: Let me do math in my head real the percentage is about 5% that will be – okay, let me do the math real quickly about $5 million of the $23 million Joe will that be lowest at 20% Navy.
Unidentified Analyst: About 20%?
Eric Hilliard: Okay.
Unidentified Analyst: Okay. And as far as IntelliTube is concerned the last earnings call a few months ago we were told that introduction was going to be before the end of the second quarter which was next month, now it’s delayed to 2014. I don’t know what the problems are we’ve been talking about this for three years now. What has been the problem in getting through the production phase, are there technical problems or?
James Tu: Yeah, Joe, this is James. Yeah I understand your question because I ask the questions all day along. That’s the reason why we changed our leadership, right. So, this platform there what has been wrong before was that there were a lot of initiatives that were not focused enough in bringing this product to the market. But also understand that this is a complicated product, not in terms of the final product, but it’s a complicated process. We have multiple notable patents around this technology. So, they are – this is a somewhat revolutionary product now we’re bringing to the market. So, I wouldn’t be surprised that it’s taking longer. On the other hand I am sure you’ll confirm that we have the right technology set to bring this to the market and we need do that. And the timeframe I shared with you earlier was based on our clear timetable that we have laid out. And as I mentioned we are finished the so-called invention part of the development and we are going to prototyping which means that we will be working with manufactures, contra manufacturers to develop this product and then we will send out the samples by the end of the year and start taking orders early next year. I am personally very excited about the prospect of it. Yes, we have taken longer than people expect, but finally I think we are comfortable with the timeline that we have we – based on my understanding and based on very truthful reflection of our abilities. So, this is the timeline I will stick to and we have the whole team behind it to make this into a reality. Did that answer you question, I’m sorry…
Unidentified Analyst: Pretty much I was wondering if you’re going to be introducing the tube with all of the technical or all the features that were discussed before such as dimming and color control IP addresses and even quicker technology.
James Tu: Yeah.
Unidentified Analyst: We implemented and all of the models you will be introducing or is it just going to be a staged development.
James Tu: Yes, it will be a stage development, you don’t get the iPhone 5 the first time, get the iPhone 1 first, and so don’t get the tube out to the market, it will be a different tube, it will be a different product. We’ll have its premium market. I share with you how big that market is, there are 8.1 billion sockets just in the commercial and the industrial sector and we build those sectors just the fluorescent, there are 5.1 billion sockets. You are talking about a market in the tens of billion dollars and if we can address one of the sections, which is the two-foot IntelliTube products. We are talking about marketing the billions and we are talking about a market that we can initially have an advantage over and we have tested this product. It’s not the first time we are – it’s not like we are coming out with a simple product and we start selling. Finally, we have taken this product to some very large distributors to look at the characteristics and they loved the product. So, we believe that the page launch of this product and extending the capabilities are so called the intelligence of this tube is our path – is a multiyear path and we hope this could be felt into a very important part of any building.
Unidentified Analyst: Well, I look forward to it, well, I get one more – just one more question I say that you’re looking in the $10 range for the 1.2 meters too.
James Tu: No, that’s – it’s an average path we are taking just a very long-term average of the price. Right now you are looking at tube in the $15 to $20 range and that’s not a very the quality tube.
Unidentified Analyst: (indiscernible).
James Tu: So, yeah we are not going to obviously talk about the price right now because we have about launch is part of our full marketing campaign behind it. All I can tell you is that you will have unique advantages such as free of instillations, column mix capabilities, and all that is different from the tube we are seeing today and we are excited about it.
Unidentified Analyst: Well, I’m looking forward to it and anyway best of luck with it, and I will let other people talk now.
James Tu: Thank you, Joe.
Unidentified Analyst: Thank you very much.
Operator: And next will be Bill Hardy, Private Investor.
Bill Hardy - Private Investor: Hi, welcome from Dallas. Unfortunately I can’t say it’s sunny, because it’s raining down here tonight, but anyway I’d like to ask a question that regards organization and what I see in the organization of Energy Focus is that you have actually covered the functions of design development and finance and control and manufacturing and administration. But one area it doesn’t seem to be covered is that of sales and marketing and I asked the question, because you can develop the best mousetrap in the world, but if you can’t sell it, you are not going to succeed, so what are your plans of strengthening this important area?
James Tu: Bill, I am glad you raised that question, because yes it is a very important part of what we are establishing right now in the organization. We have – we are creating a campaign around our marketing strategy that ranges from marketing from website – our website and the marketing literatures and also messages on the branding part of it. And so this will be one major initiative of what we are taking this year and definitely I think by the end of the year, you will be seeing a very positive marketing campaign behind Energy Focus brand. I – so, I have to echo with you about your concern and this is one part of the organization that we are. We’ll be aggressively building and…
Bill Hardy - Private Investor: Excuse me, are you going to announce or promote a picture ahead of this organization, I mean, somebody in your – with your organizational charge this is as, I’m responsible for sales and marketing and I will see that it goes done or is that…
Eric Hilliard: So, Bill, hi, Eric Hilliard here so, let me I’ll talk about dynamically about the organization and our expectations for fulfilling that need. So, currently right now we are adding individuals to the organization for selling. Both in our solutions business and in our products business and we are also cross functionally marrying those groups together to take advantage of the marketplace and the relationships we hold in those markets. In addition to that we are pursuing for whatever tell you want to choose a business development leader that will control the market for us and then their selling efforts, so to make sure that the execution of all of our opportunities is very high. And we are filling those roles now, so the answer is yes to your question. And in this landscape I think it’s not that it’s difficult to find people. If you wanted right people and we’re taking the time to get the right people on this bus. Not expeditiously putting people on this bus because we find that when we get that right person who is a dynamic seller, who understands a bit of business (document) and engineering behind what we’re trying to achieve then our execution is higher, our success is going to be higher and that’s going make this company a better company, so we are doing that.
Bill Hardy - Private Investor: It sounds good. Second question is that in the March of 2012 you signed an agreement with your right now CEO’s Comuro International Limited to act as the Asian sales representative for our company. And to-date has there been any significant sales realized or if not what might be done to promote future sales in Asia?
James Tu: Yes. That’s just one of the functions that Comuro is providing. By the way if you look at the filing it provides a lot of our capacities. But for your question about Asian sales, it was around the intellective development. Obviously, we are developing a unique product and there is a market for it. And as I said – as I have mentioned earlier we have taken the product to a few major Asian distributors and they love it. And now the question is when can we launch this? So, I think the moment we are able to launch IntelliTube you’ll be seeing first sales perhaps from Asia not the U.S.
Bill Hardy - Private Investor: Okay. I understood.
James Tu: Does that answer your question, okay.
Bill Hardy - Private Investor: Okay. One final question is competitive revolutionary, Revolution Lighting Technology announced their first quarter earnings yesterday. And the significant note was they achieved gross margin of 40% and they kind of are involved with the same products that we are, of course, that 40% was based on revenue about $6.8 million to $80 million. So, I’m just wondering and you had mentioned it or touched on it that you are definitely interested in increasing gross margins to about 30% level. But at 40% they must be doing some pretty good, so you might want to comment on maybe what we can do to get somewhat similar to those guys?
James Tu: Yeah, we don’t really want to comment on what other people do, we want to be the best in what we do. That’s just that straight. And at the second thing is that if you look our product margins some of our products has margins in the 50% to 60%. You don’t see that because we don’t break that out. And the reason you’ll see lower margins because we have a service business especially last year we suffered from low – very low margin last year. And you’ll see margin improvement this year gradually and you are always seeing that by the way 22% last quarter. And you will see that probably now and but remember we have a service vision that has brought the margin target between 25% to 30% the most, that’s the fact of that installation services. On the other hand we do expect our product margins to continue to improve. Actually I’m very excited about this opportunity to further reduce our purchasing costs and increase our margins and 40% is not really a barrier for us. Again I want you to look at the full company branded margin and then look at our ability to improve margin over time. And for our product margin if you look at our – also on the military side the margin is also very high. We just don’t provide breakdown numbers because these are our businesses that we have competitive reasons not to provide the margin, so that’s my quick answer to that. But we do expect for example in the future when IntelliTube is launched that product line should have a pretty good profit margin as well.
Bill Hardy - Private Investor: Okay. Thank you very much for answering my questions and I wish you guys the best success in the future. Okay.
James Tu: Thank you very much, Bill.
Operator: (Operator Instructions) And the next question comes from Peter Field with Merryfield Investment Management.
Peter Field - Merryfield Investment Management: Good afternoon, gentlemen, thanks for taking my call.
James Tu: How are you, Peter?
Peter Field - Merryfield Investment Management: Fine, thank you. I think I’m speaking probably for a lot of folks and that we believe that the potential as you have laid it out is tremendous. We believe that you probably have the best-in-class technology as evidenced by the Navy contract certification standards, but the greatest concern to me is can you hold on long enough to reach that cash flow positive state. And in looking at the balance sheet of course that’s our greatest concern, tt is stockholders’ equity back in 2006 was at $30 million – little over $30 million, it has steadily declined until now sadly I see what has turned negative. So, I know you are doing some capital raising initiatives, but of course convertible debt will only help that if it’s converted to stock, so I presume I should assume that stockholders positions are going to be future diluted by such conversations and could you please be a little bit specific in terms of what are we doing now that stockholder equity has turned negative and specifically what dangers, what risks that presents and your plan for addressing that.
James Tu: Thanks, Peter for the questions. Let me answer in few different points. First, we do expect to reach breakeven cash flow wise, EBITDA breakeven in the second half of the year. So, we are not that far from it. It is true that the company has been losing money for many, many years and but that I cannot speak for the past. I can say that based on where we stand, we are just at the cost of turning breakeven and we are confident about getting there. The second part of your question is about the capital sufficiency. We have been raising capital obviously as the company needed to fund the losses up to now and going forward for the working capital growth. Theoretically, we can raise a lot more, but we want to do that, I mean to your point for dilution, I think the company stock my personal perspective is while its undervalue in many, many aspects and if you look at the whole LED space that’s always the landscape and you will find that it’s we are well behind the value especially if you consider our technologies and the product, the revenues the suggestions we have. So, at this point, we want to have enough capital so we can get by sufficiently that’s what we try to do. And our shareholders as I have mentioned many of our especially our new investors are still ready to support us when we need it, but we have to strike that balance off what we need and how much we raise. So, I’m not sure if I answered your questions sufficiently.
Peter Field - Merryfield Investment Management: Well, I appreciate the attempt, I mean, you can’t probably say for sure what’s going to happen with the convertible debt and how much more you’re going to have to ask for before we get the breakeven. I just as you can appreciate that is the number one concern is someone like me and…
James Tu: Sure.
Peter Field - Merryfield Investment Management: And also I’m sure you appreciate that back in August on August 14th when previous management was talking about the second quarter results for 2012, a similar statement was made. It said that the company believes and forecast to be EBITDA positive in the second half of 2012. Well, we all know that, that was a far cry from the truth and so I certainly hope that your statement that we are going to be EBITDA positive in the second half of 2013 comes to fruition, but you have to understand that there is many of us that are going to be quite cynical about that particular projection.
James Tu: Sure. Again, I understand where you are coming from Peter, and again there is a reason why there is a leadership change. And I laid out those four pillars for us going forward to make this company successful. And we believe we have those elements. We need to execute and we have the elements for success, but we need to execute and we realized that. And if you look at the numbers that we were going to be doing between 8 to say $8.5 million and $9 million in the second quarter, where we are already very close to EBITDA breakeven at our level, and we still have additional growth in the second half of the year. So, going back to your question, we believe that we are sufficiently capitalized and believe me we are also equity shareholders, right. So, we don’t want further dilution. We also need to make sure that the company divide and prosper, and we believe that we are doing that, doing our best to get us to where we need to be.
Peter Field - Merryfield Investment Management: Well, thank you for that. And best of luck to you gentlemen.
James Tu: Thank you, Peter.
Operator: And that does conclude the question-and-answer session. I would now turn the conference back over to you for any additional or closing remarks.
James Tu - Executive Chairman and Chief Executive Officer: Thank you all for participating in the call this afternoon. Again, I am very excited to be here and generally view our perspectives, strategies, and initiatives about the new Energy Focus. And we look forward to talking to you in our second quarter earnings call. Have a good evening.
Operator: Thank you. That does conclude today’s conference. We do thank you for your participation today.